Operator: Good day everyone and welcome to Gannett’s Fourth Quarter Earnings Conference Call. Today’s call is being recorded. Due to the large number of callers, we will limit you to one question or comment. We greatly appreciate your cooperation and courtesy. Our speakers today will be Mr. Craig Dubow, President and Chief Executive Officer and Gracia Martore, Senior Vice President and Chief Financial Officer. At this time, I would like to turn the call over to Gracia Martore. Please go ahead.
Gracia C. Martore, Senior Vice President and Chief Financial Officer: Thanks very much and good morning. Welcome to our conference call and web cast today to review our fourth quarter and full year 2005 results. Hopefully you’ve had a chance to review our press releases from this morning, which also can be found at www.gannett.com. With me today are Doug McCorkindale, Chairman; Craig Dubow, President and CEO; and Jeff Heinz, Director of Investor Relations. Not a lot has changed since our presentations at year-end conferences and since many of you heard those, we’ll keep our comments relatively brief to allow time for your questions. As you saw from our press release, for the fourth quarter, we earned $1.44 per diluted share from continuing operations, which is at the high end of the range we provided you in early December. In 2004, we earned $1.44 on a comparable basis for the quarter. Looking at the full year, we earned $4.92 per diluted share, again from continuing operations, versus $4.84 last year. A number of factors had an impact on our results for the quarter, which we shared with you in early December. However, a strong finish in December by USA Today contributed positively to the quarter. Our broadcasting segment also had a better December than anticipated. However, the challenge of recouping politically-related advertising demand that totaled over $48 million in last year’s fourth quarter was too big a mountain to climb over for the full quarter. Our domestic community newspapers experienced double digit revenue gains in classified employment and real estate, but again auto remained very soft. Our results at Newsquest continued to be impacted by the slowdown in the UK economy. Craig will discuss our operations in more detail in a few moments. Also impacting the quarter was our reorganization of the Detroit Newspapers Partnership that we completed in August. The full consolidation of 100% of Detroit’s results had an impact on both revenues and expenses for the full quarter and our margin for the newspaper segment. However, when we completed the Detroit transaction, we shared with you that it would have a negative impact on our margins in the near-term. But we see opportunity to expand them over the intermediate to long-term. Just to note on one change you heard about in the fourth quarter. On December 25th, the last day of our fiscal year, we completed the expansion and reorganization of the Texas-New Mexico Newspapers Partnership with MediaNews Group. We contributed one newspaper for which we recognized a minor non-monetary, non-operating gain in the quarter and MediaNews contributed three Pennsylvania newspapers. As a result, our interest in the partnership is now approximately 41% and MediaNews Group has become the managing partner. This change does not impact operating results for the quarter, but will result in a change in our accounting presentation. Going forward, our percentage of the net results of the partnership will be included in other operating revenues, similar to the California Newspapers Partnership. Turning back to our results for the quarter, our reported expenses for the newspaper segment increased 12%. However, Detroit and some other smaller acquisitions completed this year had a big impact on that number. On a pro forma basis, assuming we owned 100% of Detroit and the same complement of properties in the fourth quarter of ‘05 and ‘04, newspaper expenses would have been up less than a half a percent. Reported newsprint expense increased 14.9% in the quarter, comprised of a less than 10% increase in prices and 4% greater usage. Again, Detroit in those acquisitions had an impact on those numbers as well. On a pro forma basis, newsprint expense was up 4.7%, with usage down almost 4.5% and prices up 9.5%. Finally, pro forma cash costs, excluding newsprint, were down about 1% for the quarter. Focusing on newsprint specifically, throughout 2005, Gannett benefited from fixed price newsprint agreements, covering a substantial amount of our requirements. As I mentioned, pro forma consumption in 2005 trailed the prior year. Conservation measures will continue throughout 2006, including additional web width reduction and expanded trials of lightweight newsprints. For the first half of 2006, we have again secured stable price arrangements covering a vast majority of our paper usage. Moving to the balance sheet items, total debt at year-end stood at $5.4 billion, and cash and marketables were about 167 million. Our all-in cost of debt currently is 4.7%, with commercial paper at about 4.4%. Interest expense in the quarter, as you saw, was $62 million compared with 41 million in the same quarter last year. The increase is attributable to both higher short-term interest rates and debt outstanding related to share repurchase activity and acquisitions. With respect to shares outstanding, basic shares at the end of the quarter were 237.8 million and averaged 238.5 million in the quarter and 245 million for the full year. We repurchased approximately 3.2 million shares during the quarter and approximately 17.5 million shares for the full year. Capital expenditures in the fourth quarter were a little over $101 million and for the full year they totaled about 263 million. I also want to note some other items that will have an impact on our results in 2006 and should be considered as you think about quarterly results. The first is the exchange rate. During the fourth quarter, the exchange rate averaged 1.75 versus 1.84 in the previous year, creating a headwind for us in the quarter. We expect that trend to continue in 2006, with the first quarter representing our toughest comparison as the pound averaged 1.89 in 2005’s first quarter. The second factor is the expensing of options. As we noted at the year-end conferences, we will begin expensing options this year and expect the impact will be approximately $45 million of pre-tax expense in the year, spread evenly over the quarters. One comment on a transaction, that took place after the close of the quarter. On January 17th, we announced a minority investment in 4INFO, as well as a marketing and distribution agreement. By investing in 4INFO, Gannett readers and viewers benefit by gaining access to free, accurate and thorough information on a number of relevant topics that will add depth and timeliness to USA Today and other media that Gannett owns. And then finally, before I turn the call over to Craig, our conference call and web cast today may include forward-looking statements and our actual results may differ. Factors that might cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures and we have provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release and on the Investor Relations portion of our website. Sorry, I couldn’t come up with a better introduction for Craig, but here’s Craig Dubow.
Craig A. Dubow, President and Chief Executive Officer: Thanks Gracia and good morning to everyone. In December, we told you that 2005 looked like it would be a record year in terms of revenues. Our release this morning confirmed those results and I’m pleased to say total operating revenues reached 7.6 billion for the year. It’s particularly pleasing because we achieved these record results in an advertising environment that has both been challenging and choppy. Our 2005 results reflect solid ad demand in classified employment and real estate at our domestic community newspapers on top of a tough 2004 comparison. Growth in local advertising was boosted by revenue growth from our non-dailies and mixed publications. Our newspaper segment results were tempered by the UK economy’s impact on Newsquest. And auto advertising was soft throughout the year in both the UK and US Our broadcasting segment saw soft auto advertising and faced comparisons to a record level of political and Olympic ad revenues that contributed to results in 2004. But the year ended strongly for broadcasting and for USA Today with both posting good results in December. As you saw from our press release, operating revenues from continuing operations advanced over 6% to approximately 2.1 billion in the quarter and increased over 4% for the year. Let me give you some additional details on our results starting with our newspaper segment. Newspaper operating revenues advanced almost 9% for the quarter and over 6% for the year. This includes a result for the full consolidation in the third quarter of Detroit after the JOA was reorganized and for Tallahassee, which we acquired in an asset swap with Knight Ridder. Assuming that we owned the same newspapers in both years, total advertising revenues in newspaper segment declined 1% for the quarter and rose 1.6% for the year. Overall our results in the US were better than those in the UK, with US ad revenue for the quarter increasing over 1%. Pro forma local advertising in the newspaper segment declined slightly over 1% in the quarter. In the US, local advertising was down slightly across all products. Health, financial, and home improvement categories gained and helped offset the lagging results from department stores, furniture, grocery results, restaurants, and telecommunications. Trends that we have seen all year in classified advertising continued in the fourth quarter. Employment advertising for the company as a whole increased slightly for the quarter, on top of an increase of more than 18% in 2004. Domestic classified employment results were significantly better than our results in the UK. In the US, community newspaper classified employment increased almost 14% for the quarter. The strength came primarily from our Pacific and South groups, both generating double digit gains in employment. For the entire company, real estate was fairly strong throughout the quarter. For the US community newspapers, real estate increased almost 14% for the quarter. Again, US results in real estate were stronger than the UK although the UK’s results were positive. Automotive, as we’ve been saying for quite some time remains soft in both our domestic community and UK newspapers in the quarter decreasing over 16%. In our US community newspapers, in the quarter, the automotive category was down more than 15%, reflecting declines in all regions but most heavily in the Atlantic Coast and Interstate groups. National advertising revenue was down slightly for the quarter as decreases from the community newspapers were offset in part by growth at USA Today, where ad revenues were up over 2% for quarter. During the quarter, the technology, auto, and advocacy categories at USA Today were very strong, while travel, retail, and pharmaceutical lagged last year’s results. As we noted, USA Today had a robust finish to the year with ad revenues up 13% for December. Before I turn to our online revenues, let me talk for a minute about the extent of our reach when you combine our print products with online in any one community. Together, our daily newspapers, our non-daily, and mixed publication, and our online products achieve a high level of audience aggregation and reach, in many cases, in excess of 75%. The success of our focus on this aggregation strategy is reflected in the revenue growth from our non-daily products and online. Revenues for our local non-daily products, which does not include the Army Times, Nursing Spectrum, or Clipper Magazine, increased over 10% in the fourth quarter and almost 13% for the year. Turning to the Internet side of the business, our online revenues for the total company, including PointRoll, were more than 300 million for the year. That’s an increase of 49% for the year and 59% for the quarter. Growth in online revenues was driven by our community, our domestic community newspapers, which had growth rates of 47% for the quarter and more than 50% for the year. Our latest monthly numbers, which are for December, show our domestic websites had about 21 million unique users and reached 13.5% of the Internet audience. In the UK, Newsquest’s online audience totaled 2.7 million unique visitors with 31.1 million page impressions. CareerBuilder also continues to perform well for us. Overall, in 2005 compared with 2004, CareerBuilder experienced a 20% increase in unique visitors. For the fourth quarter, revenues grew 67% compared to the same quarter last year. Focusing on the UK briefly, Newsquest, as we have been noting, has felt the impact of the changes in the UK economy particularly in automobile and employment. Revenues for Newsquest in pounds were down almost 6% in the quarter and about 4% for the year. Newsquest’s operating profit, again in pounds, was 16% lower for the quarter, and over 8% for the year. In response, expenses were tightly controlled and were lower year-over-year. These down cycles typically last 18 to 24 months, so we believe that we are about halfway through this. We expect to see modest ad revenue growth in the latter half of this year. Moving to broadcast; total revenues for the broadcast division, including Captivate, declined 11% for the quarter. At our TV stations, total revenues were approximately 12% lower compared to the last year. Local ad revenues increased 1%, while national decreased 28%. This decrease reflects the lack of more than 48 million in advertising demand related to the elections in fourth quarter of 2004. However, several advertising categories firmed up in December led by auto, retail, banking, and finance. This resulted in revenue growth of over 5% for the month. Looking ahead, our latest pacings for first quarter overall are up in the high single digits, compared to last year’s first quarter. January is down in the very low single digits and February is up over 30%. Local is stronger than national at this point. These pacings reflect the ad demand associated with the Winter Olympic Games in Turin that will be broadcast on our NBC station in February. Again, though I want to caution you that the pacings are very volatile and reflect where we are right at this moment, we’ll keep you updated on our monthly reports as the quarter progresses. Before we go to questions, let me provide a few words about 2006. We are enthusiastic about the possibilities and opportunities we see in our market as more consumers access our content in even more ways. Our investment in 4INFO is just one small but interesting example of our efforts to deliver content in ways consumers want it. In 2006, our domestic community newspapers will take advantage of their market coverage and an array of products to generate positive revenue growth. USA Today will benefit from the value of its brand as we find more ways to deliver its content. And there will be an advertising rate increase. In broadcasting the Olympic Games and politically-driven ad demand, in addition to new business initiatives are expected to contribute significantly to revenue growth as we take advantage of our strong local news rating. For Newsquest, we expect and anticipate some stabilization in revenues in the first half, and revenue growth in the second half. Overall, Gannett is committed to our focus on local coverage and local content. Delivering that content wherever, however the customer wants it is our mission and we will drive to that for our results. Now we’d be happy to stop and take your questions.
Operator: Thank you. The question and answer session will be conducted electronically. If you would like to ask a question please do so by pressing the “*” followed by the “1” on your touchtone telephone. Again that is “*”, “1” to ask a question. If you are using a speakerphone please make sure that your mute function is turned off to allow your signal to reach our equipment. And also as a reminder due to a large number of callers we ask you to limit yourself to one question, so that everyone has an opportunity to ask a question. Again that is “*”, “1” and we will proceed in the order of your signal. And our first question will come from Christa Quarles of Thomas Weisel Partners.
Q - Christa Sober Quarles: Hi, I just had a quick question on the online side. It appears you’re outperforming pretty much everybody else in the online space, perhaps other than Google. And then I was just wondering, if you feel that that is just, pent up demand for your properties, pricing improvements or if that’s something that could be sustainable. And then on CareerBuilder, we’re hearing news that they’re sort of potentially thinking about moving internationally, and I was just wondering if you guys have any comments on that and the resulting profitability there. Thanks.
A - Gracia Martore: With regard to CareerBuilder and international movement, obviously we look at a variety of things in the partnership. And if we all believe together, with our good partners at Tribune and Knight Ridder, that an international expansion is appropriate and we can ultimately make money there, then we would certainly contemplate that. But we’re very focused on being successful, as we have been here, domestically.
A - Douglas McCorkindale: Christa, this is Doug McCorkindale. With our operation over in the UK, we’re doing very, very well in the online and our relationship with CareerBuilder is a positive there because the UK folks and the CareerBuilder folks do exchange information. So that should add a little plus on the international big picture.
A - Craig Dubow: As far as the overall for online, as you know, we’ve had just an extraordinary focus on that for the last several years. And I think we’re beginning to see the fruits of the labors there, if you will. And certainly, it is going to continue to be a major focus in all categories across the company. You probably also saw the focus that we are putting toward that with the introduction of our new President of Gannett Digital. Jack Williams will take over and will continue every effort that we’ve had to further coordinate this as we go into the future, recognizing the importance that we have for the forward view.
Q - Christa Sober Quarles: Great, thank you.
A - Craig Dubow: Thanks, Christa.
Operator: And our next question will come from Craig Huber of Lehman Brothers.
Q - Craig Huber: Yes, good morning, thank you. Two quick ones. January, any thoughts around newspapers? Is it much different than we’ve seen in the fourth quarter? And then also this comparable newspaper cost down 1% in the fourth quarter, you guys have been very, very tight on costs for many years. I applaud you for that. But how many more years can you guys, or how long can you go with non-newsprint costs down 1% or so without actually hurting the franchise? Thanks.
A - Gracia Martore: Well, those are cash costs...
Q - Craig Huber: Right.
A - Gracia Martore: At newsprint. Obviously, all of our divisions are focused on making sure that our expense picture reflects our revenue picture, and to the extent that we had some difficulties in the fourth quarter and during the year, particularly over in the UK with the economy there, and in some softening demand on the auto side, our folks have responded in an appropriate way to those revenue shortfalls. And I know that they’ll continue to do that to the extent that it is necessary, but obviously we are very focused as well on growing that top line and getting those revenues moving, and that’s very important to us. On the newspaper side, for January, I’d say probably nothing different than what we were talking about at the December conferences. On the USA Today side, we continue to see choppiness. Wonderful, wonderful month in December. We’ll see how January plays out for the full quarter. We are anticipating that we’ll do a pretty good job, but again we’re seeing some choppiness on the national side and no trend from month to month. Auto continues to be a real challenge at the community newspaper level, but at the same time real estate has been a very good ad category and certainly continued to be in December, and we’ll see how that goes for the remainder of this quarter.
Q - Craig Huber: Thanks Gracia.
A - Gracia Martore: Thanks Craig.
Operator: Our next question will come from Brian Shipman of UBS.
Q - Brian Shipman: Thanks. Wondering if you could quantify, you’ve done this in the past, if you could quantify how much Olympics and Super Bowl will affect the numbers in 1Q? And also if you could quantify, what you’re expecting in political advertising for the full year? Thank you.
A - Craig Dubow: So far, Brian, as far as the Olympics are concerned, I guess the best way to look at it would be, because one, it is not domestic, so it’s going to probably be in the vicinity slightly less than what we achieved out of Salt Lake. Overall, the sales are okay, they’re not absolutely terrific. But in general, we’re fine with it. The political, as we go into the year, we are anticipating a fairly robust year. I think that the real key here is when everything will begin. There was anticipation that we would see some political beginning in January. To date, that has been very, very slow, so that would be slightly behind what we had anticipated, but in general from all the people that we have spoken with, we are anticipating a very robust year…
Q - Brian Shipman: Okay.
A - Craig Dubow: From a political perspective.
Q - Brian Shipman: In ‘04, I think you came in a bit north of 120 million in political.
A - Gracia Martore: No, that included Olympics, so...
Q - Brian Shipman: That did include Olympics?
A - Gracia Martore: Yeah.
A - Gracia Martore: Yeah. On the political side we’re about 90 to 95 million. In 2002 that number was in the low 80s.
Q - Brian Shipman: Okay, so you’re thinking in the 90s for ‘06, or possibly even slightly better?
A - Gracia Martore: I don’t think that’s exactly what we said.
A - Gracia Martore: Good try.
A - Gracia Martore: Remember that 2004 was a presidential election year, whereas 2002 was a congressional election year. I think it may be at this moment, given how early it is in the year, that we would think it would be more comparable to a non-presidential year than a presidential year. But, we were surprised in ‘04 positively, so we’ll just have to see how the year plays out.
Q - Brian Shipman: Okay. Thanks for the color.
A - Gracia Martore: Thanks, Brian.
Operator: And our next question will come from John Janedis of Banc of America Securities.
Q - John Janedis: Hi, good morning. Just wanted to check in on the Denver TV station. I know it wasn’t a big deal, but can you give us your plans, assuming that goes independent?
A - Craig Dubow: Well, I think that the key is we certainly have interest in the station, but we need to understand where all of this will shake out with CW and, and what those ramifications will be. And that is yet to fully unfold here for us.
Q - John Janedis: When is that supposed to close?
A - Douglas McCorkindale: This is Doug, John. A couple of months, subject to FCC approval, but we obviously have to look at what the CW arrangement means, as Craig indicated. So that may slow down the closing.
Q - John Janedis: Okay, thanks.
Operator: Our next question will come from Paul Ginocchio of Deutsche Bank.
Q - David Clark: Yes, good morning, this is Dave Clark for Paul. USA Today ad yields were very strong in 4Q, particularly December. Could you give us a bit of color on why that was, and also could you give us update on Detroit, how the transition is going? Thank you.
A - Gracia Martore: Let me just, I’ll take the USA Today and I know Craig will jump in on Detroit. Obviously they benefited from the price increase that we put in at the beginning of the year, which was in the 8% range. But also they benefited from the mix of advertising. As you know, a color page has, carries a nice premium to a black and white page. So that also impacts the yield that they get as well.
A - Craig Dubow: Detroit is moving forward. I think Dave and his group have been working exceptionally hard up there. But what we have to have is some better economics. The, I think as everyone is very aware, it’s been a very difficult ad environment, certainly in that town, and certainly with what has happened in the auto industry, they have really felt some very significant impacts. So, overall we are moving forward, but it is a real, real difficult economy.
A - Gracia Martore: I’d say, to add to what Craig has said, on, he’s covering the revenue side. On the expense side they’re doing a very good job with a new plant coming on line here in the last quarter that they have really realized the kinds of savings that we were anticipating from that very significant project and I know that they’re going to be very focused on the cost side of the equation as well.
Q - David Clark: Great, thank you.
Operator: At J.P. Morgan, Frederick Searby has our next question.
Q - Frederick Searby: Yeah, thank you. One question, if you strip out the UK and USA Today in 2006, what would be a good number for you on the smaller market in terms of ad revenue growth? What you think in the more community-oriented newspapers would be a good number? Thank you.
A - Gracia Martore: I think, Fred, that the assumptions that we gave out in early December vis-à-vis ad revenue growth numbers, continue to be where we think things, at least at this moment are shaping up in that kind of low potentially to mid single digits, again auto being a continuing drag on those numbers. But I think the assumptions we gave out in December continue to be appropriate, at least this early in the year.
Q - Frederick Searby: Okay, thank you.
A - Gracia Martore: Thanks, Fred.
Operator: Our next question will from Douglas Arthur of Morgan Stanley.
Q - Douglas Arthur: Yeah, on USA Today, you threw out some caveats in terms of the choppy start to ‘06, but are you starting to feel more confident vis-à-vis some of the major categories that USA Today has turned the corner? And I think, Gracia, you had mentioned back in December, pretty strong demand at USA Today surrounding the Winter Olympics. Is that still the case? Thanks.
A - Gracia Martore: I think that Craig Moon mentioned that he would see some good advertising pickup surrounding the Olympics, and our sense is that he is seeing that. Clearly, it’s not anything like what we’ve seen on the broadcast side. It’s measured in the single millions of dollars rather than the double-digit millions that we see on the broadcast side. Yeah, I think we’re feeling good about the job that USA Today is doing, and very strong finish to December in a lot of categories, particularly auto, technology, telecommunications, some very strong categories for them in December. And I think they’re feeling a little bit better about business conditions than they did at the beginning of December. But again, it’s been choppy, so we don’t want to get ahead of ourselves as we look at the remainder of 2006.
Q - Douglas Arthur: Thanks.
A - Gracia Martore: Thanks, Doug.
Operator: Moving on to Lauren Fine of Merrill Lynch. Ms. Fine, your line is open.
A - Gracia Martore: Hello, Lauren? Why don’t we move on?
Operator: Hearing no response.
Operator: We will move on to Alexia Quadrani of Bear Stearns.
Q - Alexia Quadrani: Thank you. Just some further color on the UK. We obviously saw some deterioration in the fourth quarter versus the full year and I just want to get a sense, are you seeing further deterioration in the UK early in the first quarter? And also I think at one point you were concerned that the real estate advertising in that market was beginning to look a little bit worrisome and it looks like it did okay in Q4. Do you think that’s likely to be stable going forward, or is there still some risk on the real estate side?
A - Craig Dubow: I think that overall what Paul Davidson had called back in December is holding very true. We had mentioned how difficult their auto, we, they call it motors, is in that market. Certainly their employment side was also very specific as a concern. Following up on your real estate question, we’re doing moderately well. It is in the low singles, but it is positive at this point despite some of the issues that they’ve been having, and depending on which part of the country you are talking about, is where we will see there’s some more positive or some more negative. But I think the comment that it is very choppy over there is consistent. And again, being about midway into the economic cycle, we’re still anticipating this first half to have some difficulty.
Q - Alexia Quadrani: Thank you.
Operator: Our next question will come from Peter Appert of Goldman Sachs.
Q - Peter Appert: Craig, back to the UPN, WB combination. Can you give us your perspective on what you think that new competitor might mean to you in your markets from a ratings perspective, whether you think there is perhaps some incremental pressure on programming costs for syndicated product in terms of new independent competitor in the market. And then finally, any perspective you can give us on trends in network compensation for your station group. Thanks.
A - Craig Dubow: Overall, I think CW will add some interesting opportunities. I think you’re very clear on the struggles that were taking place with WB and UPN before. Certainly the combination that this will add, if I’m correct, I believe there is 30 hours of prime programming that will be added into this, and I think that will have an impact. Ultimately it’s going to have impacts on overall availability of inventory, so I think that is going to be tighter, certainly as we look at it. But I think certainly what we understand at this point and what they’re trying to do, it should produce some interesting changes certainly for what they were trying to accomplish on UPN, and where they were going. Competitively at this point, I think it is very early to try and call anything as far as longer range impacts for us. Obviously, with the primary networks that our portfolio is made up of, we feel very comfortable with that. But I think in general it does change some of the market dynamics as you begin to look at this forward.
Q - Peter Appert: And how about programming cost specifically?
A - Craig Dubow: As far as programming cost, again that’s something we are going have to look at further. You know, clearly there would be some differences depending on where and what direction we head. But I think certainly there will be a broader need for syndicated products. So we’ll have to look very closely. But again, it’s very early to try and get a read as to how those markets will react and certainly the kind of product that we put on our local station.
Q - Peter Appert: And any direction in network comp?
A - Craig Dubow: You know, I think you’ve seen over the course of the last number of years, there has been be a reduction in that. We are still participating in it. However, there is a reduction that we had talked about, I guess it was a couple years ago, Doug, that when it was brought up, and certainly there is some other combinations of working with the networks that have been publicized with respect to the NCAA, and the NFL football. But beyond that there’s really nothing new that we can have to report to you.
A - Douglas McCorkindale: All of our deals are locked down, Peter, so we’re not seeing any changes in the upcoming years.
A - Gracia Martore: And I think the other piece is that as we’ve seen network comp come down, there have been other pieces that have come in to help replace it on the retransmission side and other initiatives that Roger and his team have been effective at. So for us as we said a long time ago, network comp was never you know a huge piece of the pie. It’s come down, but again we have done, our TV team has done a good job of replacing some of that with other sources of income.
Q - Peter Appert: Okay, thank you.
Operator: Moving on to Steven Barlow of Prudential Equity Group.
Q - Steven Barlow: Thank you. Can you talk a little bit, please, Craig, about the NBC effect, obviously the ratings are down for prime time. How is that hurting your prime time revenue and then could you discuss related to that your indexing of news. In the past you have over-indexed I think the general NBC stations that are out there. How much has that maybe declined or how has that changed year over year?
A - Craig Dubow: Steve, frankly, the overall NBC programming, I think, no doubt has had some impact, certainly in our prime numbers and you know it is a 30-plus percent part of the overall revenue picture when you take a look at it. So yes, there are some impacts there but when you translate that to the news, what we have done and we talked about this a bit last year where we had increased some of our marketing budgets at the stations to try and offset any possibility of our late news declines. And frankly, after the November sweeps we’re very happy to report the results we have. We are in very, very solid position across the board and from an indexing standpoint we’re, again, right where we want to be. Does it make it more difficult? Absolutely, there is no doubt from that perspective. But on the other hand, when you consider some of the increases that we have seen certainly on the ABC side for the three ABC properties, as well as the six CBS, there is a degree of offset, and then coming back to NBC with the Olympics, it really is balancing up. But it has had some impact. But I would say, you know, I know the efforts that NBC is working to try and create further improvements, but as we go into this quarter, obviously we’re going to be buoyed to a great extent by the Olympics here in February, and then certainly the added advantage that we’re going to have from a political perspective, again, because of the strong demographics that Roger and his team have been able to continue on the news side.
Q - Steven Barlow: Is there a way to quantify on an EPS basis what NBC has hurt you by?
A - Craig Dubow: No. I don’t think there is any way you could piece that together. It would be a very difficult maneuver.
Q - Steven Barlow: Thank you.
Operator: With Citigroup, William Bird has our next question.
Q - William Bird: Yeah, I was wonder if you could talk about whether there is really any new strategies you’re looking at to reduce expenses more material and then overall current thoughts on non-newsprint expense rise for ‘06. Thanks.
A - Gracia Martore: I’m not sure; there is a lot of new things that we can do. It’s just more of the same, blocking and tackling that the company has always done and just being, looking in every nook and cranny. I mean there’s some little things, for instance we mentioned at the December conferences, an ink optimization project that we’re doing in the UK and US that may save in the millions. But, you know, it’s a lot of just blocking and tackling and making sure that our expense picture is appropriate in light of the revenue outlook and that’s always what we are focused on, Bill.
A - Craig Dubow: The managers are clearly understanding the need to continue our tight control, and certainly each of the division heads understands that most directly.
Q - William Bird: And on non-newsprint, I was wondering what your outlook is for ‘06?
A - Gracia Martore: I think that the assumptions we gave in December vis-à-vis expenses continue to hold, but again as always, we will adjust those accordingly, depending on what the revenue outlook looks like and if it’s a more positive outlook then that may you know require us make more investments. If it’s a less positive outlook, then we’ll have to appropriately make sure we continue to fund the right investments at the same time focusing on those items that we can either defer or put aside for the time being.
Q - William Bird: Thank you.
A - Gracia Martore: Thanks, Bill.
Operator: We’ll move to Debra Schwartz of Credit Suisse First Boston.
Q - Debra Schwartz: Hi, thanks. I was wondering if you could tell us where USA Today’s margin ended 2005 and Gracia given what you said earlier about ad trends, where do you expect that to go in 2006?
A - Gracia Martore: Well, with regard to 2006, on ad trends, I think that again, I hate to keep harkening back to our assumptions that we gave out in early December, but I think that those continue to be operative. Specifically at USA Today, they put in a price increase at the beginning of the year in the 6% range and they anticipate that they’ll get good, very good follow through on that price increase as they have on prior price increases. So you know, that I think is where we stand at the USA Today side. On the margin side, at USA Today, I think we continue to look at you know mid teens kinds of margins there, and obviously we’d love to sees those margins do a little better.
Q - Debra Schwartz: Great, thank you.
Operator: Our next question will come from Karl Choi of Merrill Lynch.
Q - Karl Choi: Hi, good morning. Gracia, I wonder if you can help us size the net impact of the consolidation of the Texas-New Mexico Newspapers Partnership and just really quickly, if you can let us know how the option expense should be split between the divisions of corporate. Thank.
A - Gracia Martore: With regard to Texas-New Mexico, we’ll need to get back to you Karl on those specifics. I don’t have them right at my fingertips but Jeff and I will get back to you later this afternoon. Vis-à-vis stock option expensing, I think if you look at it on the basis of the split among the divisions on the revenue side, that’s a pretty good proxy for the way the option expensing will be split, plus obviously a chunk at the corporate level as well.
Q - Karl Choi: Thank you.
Operator: Our next question is from John Kornreich with Sandler Capital.
Q - John Kornreich: Yeah, good morning. Can you give us some flavor on the ad rate increases for local retail and also for the classified categories and related to that given that I think you wound up with a 2% decline in daily circulation and more than 3 on Sunday. Could there be, should there be some push-back from whatever rate increases you’re trying to get?
A - Gracia Martore: Yeah, John. Vis-a-vis, let me start with your last question first, vis-à-vis push-back on rate increases. With regard to preprint advertising, obviously that is a direct correlation between paid circulation and the dollars we achieved from that. So there’s a very direct correlation there. Vis-à-vis our ad pricing otherwise, I think that our advertisers focus on what we are delivering in the total spectrum of the community, and whether that’s 27,222 eyeballs, paid circulation, or 28,143, they’re not as focused on that as the kind of market coverage we provide as well as the audience aggregation and the eyeballs they bring to their advertising. As long as they’re comfortable that we are being successful in driving traffic into their stores, we are going to be successful in being able to look at the ad pricing side. Vis-à-vis specific ad pricing on the local and classified, again that varies market to market, product to product. In some of our markets where there’s strong ad demand, obviously, we’ll have more flexibility on ad rate increases. In other markets, where for a variety of reasons including dependence on auto-related communities, we’re going to have to be careful and cautious in what we do on the ad rate side. I think it’s less of a factor on specific circulation than it is what we are doing vis-à-vis the total market.
Q - John Kornreich: Would it be fair to say perhaps you’re averaging, whether that’s meaningful or not, but you’re averaging somewhere in the 3 to 4% area?
A - Gracia Martore: That’s not, that’s not a bad ballpark.
Q - John Kornreich: Okay, thanks Gracia.
A - Gracia Martore: Thanks John.
Operator: Our next question will come from Dan Jenkins of the State of Wisconsin Investment Board.
Q - Daniel Jenkins: Hi, good morning.
A - Gracia Martore: Good morning.
Q - Daniel Jenkins: I was wondering if you could give a little color on real estate and then the UK employment situation. And I think you said the US was up about 14% in the quarter, so I was kind of curious how much the UK was down, and at what point will those comps kind of get easier, because I think it’s been declining for a few quarters now. So at some point, I would think you would see less of a decline there. On the real estate, I was wondering what percentage of your classified ads are real estate.
A - Gracia Martore: Let me answer your last question first. With regard to real estate as a percentage of our total classified for the total company, it’s about 23 or 24% for Newsquest alone, it’s right in that same ballpark actually, both for our domestic and our US newspapers. On the UK employment side, we will have easier comps, certainly beginning in the first quarter, although, and those comps will get a little bit easier, clearly as the year progresses in the UK on the employment side. We’ve said that in the UK they’ve had double digit declines in both employments as well as in auto, high teen’s declines in both employment and auto. We need obviously some help from the economy in the UK as well as easier comparisons. And we’ll just have to see how the economy there plays out. Vis-à-vis real estate, that has continued actually to be a very good category as we said earlier domestically and in the UK, while we were anticipating that we might see a bit of a fall off there, in fact that continued to be positive in the first quarter. And I think Paul Davidson and his team are feeling a little bit more comfortable that the real estate picture in general will not have a hard fall, but will stabilize, depending obviously on what happens on the interest rate side.
A - Douglas McCorkindale: One of the aspects of the real estate market is as houses stay on the market longer, that’s a positive to us because people have to continue to advertise for a longer period of time, so the slight slow-down in the market is an advertising plus to the newspaper business.
Q - Daniel Jenkins: Okay, thank you.
A - Gracia Martore: Thank you.
Operator: We’ll hear next from David Winters of Wintergreen Advisors.
Q - David Winters: I’d like to ask Doug a question.
A - Douglas McCorkindale: Yes David.
Q - David Winters: You know, you’re one of my heroes. You’ve done an incredible job over the years, and Gannett is I think, it’s one of the greatest companies on the planet. And you’ve been brilliant about allocating capital and being thoughtful. And you know, I just would love to hear your sort of longer term thoughts on the newspaper business because Wall Street despite the obsession with the short-term is so gloomy. And yet you know, this is such a great company and you’re so long-term thoughtful. So just, I’d just like to hear your general thoughts about the business. Because people are just, they’re so negative, and it’s sort of sad in a way.
A - Douglas McCorkindale: Well, David, you’re right on, and yet it’s an interesting buying opportunity for us. Keep in mind that the Street was going put us out of business in 1999 and they were going to put us out of business in the early ‘90s, and I can go all the way back to the early ‘70s. And when that attitude prevails there’s some interesting opportunities, as when we acquired Multimedia at a very good price. Now the acquisition market hasn’t reflected the Wall Street attitude completely. But it has reflected it somewhat. So as you know, there are assets for sale in the UK that are quite interesting to us and things going on in the US and things that are not yet public. Maybe something is going to happen in the broadcasting market for all the reasons that were mentioned earlier on this call. And yeah, it’s tougher. The revenue is not as easy as it was 15 or 20 years ago, but we’re generating a couple of billion dollars of cash. We can put it to very good use both in traditional businesses and into some of the new businesses that Craig and Gracia have mentioned and have been announced elsewhere. Our Internet world is doing very, very well at 300 million plus. Now, compared to 7.6 billion, it’s not the end of the world, but there’s a good upside there. So I own a lot of Gannett stock and you don’t see any announcements of me selling it. I think it will come back and I think the Street will recognize all the positive economics of the business. But, you know, is it as easy as it was? No, but it’s not going away either.
Q - David Winters: Thanks Doug. And I wish all of you the best and thanks for, thanks for being rational in what has been a very negative Wall Street emotional environment.
A - Douglas McCorkindale: Well, David, we’ve been rational for as long as I’ve been here and I think the younger management will be just as rational.
Q - David Winters: As long as they follow your example, Doug, Gannett is a long-term winner.
A - Douglas McCorkindale: I’m right next to them, so they’re not going away. Thank you.
A - Gracia Martore: I think we have time for one more question after that wonderful one.
A - Douglas McCorkindale: That was a great question.
Operator: Our final question will come from Mike Foss of Alex Brown.
Q - Michael Foss: Wow, I don’t have anything that can come close to following up on that one. Going back to the completely mundane, I was just wondering if you guys could give us any lead indicators of improvement in the UK, just lead economic indicators that you guys look at to give us a sense of when that economy might start to be perking up again?
A - Gracia Martore: I think the best lead indicator we have is probably looking at each one of the regions that we are in, in the UK, and seeing how things are playing out. As similar to what we do here domestically, we also obviously look at retail sales and home sales and all the other economic indicators that you would imagine that we look at.
A - Douglas McCorkindale: And Mike, we’ve been over there for five years now, and have hit a home run just about every year until the slowdown took place in January of ‘05. And as Craig mentioned earlier, these cycles in the UK historically last for 18 months to two years. It might be shorter than that this time, but it was market by market for a while, and then the whole country. And we do have some spots over there that are doing a little bit better. The slowdown in motors in the UK is for different reasons than it is in the US. But the employment numbers and the softness, especially in the growth areas in the south of England, were a little bit of a surprise. So it’s very much of a mixed message. The national scene over there was much softer than the local scene. And their retail environment on “High Street” as they call it, was pretty negative, which would give you an indication that the consumer in the UK is holding on to their pounds at this point and waiting to see some development that would be more positive. Also, the housing prices got, in my view a little silly. I mean, relative to the average income of the buyer of a house over there, and that’s go to have an effect as people begin to step back and figure out what their cost of living is. So lots of mixed messages unfortunately, nothing that is very specific. But I just have a gut feeling that it’s going to pick up a little bit sooner than the historic trends would suggest.
Q - Michael Foss: Right. Alright, well, thanks a lot guys. I have to concur with Mr. Winters on our outlook and versus the markets but good luck and keep up the good work.
A - Douglas McCorkindale: Thank you Mike.
A - Gracia Martore: Thanks Mike.
A - Craig Dubow: Thank you very much.
Gracia C. Martore, Senior Vice President and Chief Financial Officer: Thanks for joining us, and if you have any further questions, you can reach Jeff or myself after the call. Have a great day.
Operator: That does conclude today’s teleconference, thank you very much for your participation and have a wonderful day.